Executives: Jeffrey T. O'Keefe - Director of Investor Relations Ara K. Hovnanian - Chairman, Chief Executive Officer and President J. Larry Sorsby - Chief Financial Officer, Executive Vice President and Director Brad G. O'Connor - Chief Accounting Officer, Vice President and Corporate Controller
Analysts: Alan Ratner - Zelman & Associates, Research Division Andrew Casella - Imperial Capital, LLC, Research Division Rob Hansen - Deutsche Bank AG, Research Division Jason A. Marcus - JP Morgan Chase & Co, Research Division Megan McGrath - MKM Partners LLC, Research Division Kristen McDuffy - Goldman Sachs Group Inc., Research Division Daniel Oppenheim - Crédit Suisse AG, Research Division David Goldberg - UBS Investment Bank, Research Division Joshua Pollard - Goldman Sachs Group Inc., Research Division Alex Barrón - Housing Research Center, LLC Susan Berliner - JP Morgan Chase & Co, Research Division Joel Locker - FBN Securities, Inc., Research Division Andrew Scheffer - Onex Credit Partners
Operator: Good morning, and thank you for joining us today for Hovnanian Enterprises Fiscal 2012 First Quarter Earnings Conference Call. An archive of the webcast will be available after the completion of the call and run for 12 months. This conference is being recorded for rebroadcast. [Operator Instructions] Management will make some opening remarks about the fourth quarter results and then open up the line for questions. The company will also be webcasting a slide presentation along with the opening comments from management. The slides are available on the investors page of the company's website at www.khov.com. Those listeners who would like to follow along should log on to the website at this time. Before we begin, I would like to turn the call over to Jeff O'Keefe, Vice President, Investor Relations. Jeff, please go ahead.
Jeffrey T. O'Keefe: Thank you. Before I turn the call over to Ara, I would like to read the following about forward-looking statements. All statements made during this conference call that are not historical facts should be considered as forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Such risks, uncertainties and other factors include, but are not limited to, changes in general and economic and industry and business conditions and impacts of the sustained homebuilding downturn; adverse weather and other environmental conditions and natural disasters; changes in market conditions and seasonality of the company's business; changes in home prices and sales activity in the markets where the company builds homes; government regulation, including regulations concerning development of land, the homebuilding, sales and customer financing process, tax laws and the environment; fluctuations in interest rates and the availability of mortgage financing; shortages in and price fluctuations of raw materials and labor; the availability and cost of suitable land and improved lots; levels of competition; availability of financing to the company; utility shortages and outages or rate fluctuations; levels of indebtedness and restrictions on the company's operations and activities imposed by the agreements governing the company's outstanding indebtedness; the company's sources of liquidity; changes in credit ratings; availability of net operating loss carryforwards; operations through joint ventures with third parties; product liability litigation, warranty claims and claims by mortgage investors; successful identification and integration of acquisitions; significant influence of the company's controlling stockholders; changes in tax laws affecting the after-tax costs of owning a home; geopolitical risks, terrorist attacks and other acts of war; and other factors described in detail in the company's annual report on the Form 10-K for the year ended October 31, 2011. Except as otherwise required by applicable securities laws, we undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events, changed circumstances or any other reason. I would now like to turn the call over to Ara Hovnanian, our Chairman, President and Chief Executive Officer. Ara, please go ahead.
Ara K. Hovnanian: Good morning, and thank you for participating in today's call to review the results of our first quarter ended January 31, 2012. Joining me today from the company are Larry Sorsby, Executive Vice President and CFO; Brad O'Connor, Vice President, Chief Accounting Officer and Corporate Controller; David Valiaveedan, Vice President, Finance and Treasurer; and Jeff O'Keefe, Vice President of Investor Relations. On Slide 3, you can see a brief summary of our first quarter results and comparisons to the prior year's first quarter. As you can see, our net contract, community count, net contracts per community, deliveries, backlog and total revenues all increased year-over-year in the first quarter of 2012. This is the first quarterly year-over-year increase in total revenues since the third quarter of 2006. After 21 straight quarters of decline, it feels good to reverse this trend. We are hopeful that our positive sales results will continue and drive additional revenue growth, going forward. As we have said previously, our path to returning to profitability is very related on our ability to grow the top line. Our net loss was less this quarter than it was in the year-ago period. From a macroeconomic perspective, things definitely feel better right now. There are more positive trends than negative trends grabbing the headlines. Mortgage rates remain low. The energy sector is booming. There are fewer discussions about fears of a double-dip recession. Consumer confidence is improving. And there is pent-up demand on the sidelines right now. The key to unlocking this pent-up demand is job growth. And there is some evidence of a slight improvement in the labor market, which bodes well for our industry if it continues. With this economic backdrop, our net contracts have improved significantly. If you turn to Slide 4, you see that on an absolute basis, net contracts increased 27% in the first quarter to 1,079 homes and the second quarter is off to an even better start. We signed 528 net contracts in February of '12, a 38% increase when compared to 384 net contracts in February a year ago with the same number of weekends. In addition to our community count increase year-over-year, we also saw solid increases in net contracts per community. Slide 5 shows monthly net contracts per community for the past year. Each month in the first quarter posted similar year-over-year increases in net contracts per community. 8 of the past 12 months have shown year-over-year increases in net contracts per community. Slide 6 shows a 17% increase for the first quarter in net contracts per community, followed by February, which registered an even stronger gain of 26%. Let me emphasize that there were no coordinated national sales promotions that led to this increased net contracts during the month of February. Many of our divisions did their typical seasonal local marketing campaigns, but these were not campaigns that reduced the net selling price or adversely affected our gross margins in our February contracts. During each of the past 4 months, our sales results have exceeded our internal expectations. While we are pleased with how the spring selling season has kicked off, it's still too early to say how this is going to play out. We will be watching sales closely, as I know all in the industry will. Our net sales per community increased 19% for the first 4 months of 2012. If we were to see that same increase for the entire year, that would put us on a pace of 25.3 contracts per community, and you see that in the red bar on Slide 7. This doesn't exactly catapult us to historical -- to our historical normalized average pace of 45 contracts per year, which you see on the left-hand side of this slide. However, 25.3 contracts per community per year would be the best sales pace we've experienced since 2006.  During the first quarter, we were able to both increase our community count by 9% year-over-year, as you see on Slide 8, and increase our sales pace per community by 17%. These are the type of results we need in order to continue to achieve our top line growth and return to profitability. As we close out of legacy communities and open new communities, our mix of newly identified actively selling communities to total communities continues to rise. With the increased investment in communities and backlog, it's not surprising that we ended the quarter with more capital deployed. Nonetheless, our cash position of $201.7 million, including cash used to collateralize letters of credit, is around the midpoint of our cash target of $170 million to $245 million. Our future investment decisions will be made within the confines of this cash target range. Given the strong net contract trends and the growth in backlog, we expect to see our revenue increase in the future quarters, which should increase our ability to generate additional cash flow. Turn now to Slide 9, which shows our annual gross margin on the left-hand side of the slide and quarterly gross margins on the right-hand side of the slide. While our first quarter was down slightly compared to the same quarter last year, you can see on the right-hand side that our quarterly gross margin has slowly moved up over the last 3 quarters, including a 100-basis-point sequential improvement from the fourth quarter 2011 compared to the first quarter of 2012. Home prices remained stable throughout the first quarter and continued to hold in February. During the first quarter, the average price of our net contracts increased 3%, including unconsolidated joint ventures, and decreased 1%, excluding unconsolidated joint ventures. In both cases, the price movements are related to product and geographic mix rather than our ability to increase prices or our need to offer incentives. At the end of the first quarter, 76% of our wholly owned communities that were open for sale were newly identified communities that we controlled after January of '09. 58% of our consolidated deliveries in the first quarter were from newly identified land, which is higher than the 44% of deliveries in fiscal '11 from new land. Given the current number of new communities, we would expect the mix for all of 2012 to be higher than it was in 2011. Since many of these newly identified communities were recently opened, they will not begin to deliver homes until 2012 -- later in 2012. As long as we see no adverse changes in the market conditions, particularly with respect to home prices, this mix should result in our gross margins increasing during 2012. During the first quarter of 2012, there were $16.9 million of impairment reversals related to home deliveries compared to $25.5 million of impairment reversals in the first quarter of 2011. While a gross margin of 16.5% is much improved over the last 3 quarters of fiscal '11, it is still well below normalized levels, which were in the 20% range, as shown on the left-hand side of the slide. On the right-hand side of Slide 10, the bar shows that the absolute dollar of total SG&A in the first quarter of 2012 declined 16.4% compared to the first quarter of last year. When you look at total SG&A as a percentage of total revenues, as we have shown underneath the bars on the right-hand side of the slide, it has improved from 21.9% during last year's first quarter to 17.1% during the first quarter this year. These gains are more meaningful because the first quarter is typically the weakest quarter with respect to operating leverage. Additionally, we expect further improvements in total SG&A as a percentage of total revenues during fiscal 2012. It's noteworthy that we were able to deliver 13% more homes during this year's first quarter with 4% fewer associates than we did in last year's first quarter. This further validates our strategy of gaining efficiency and top line growth. While SG&A has come down in both absolute terms and on a percentage basis, it's still much higher than our historical norm of 10% or 11%. These higher percentages remain, despite steep reductions in our staffing levels. As our revenues increase, we expect to leverage these SG&A expenses so that we gradually bring our SG&A ratio down to a normalized level. Now I'll turn it over to Larry, who will discuss our inventory, liquidity and mortgage operations, as well as a few other topics.
J. Larry Sorsby: Thanks, Ara. Let me start with our efforts to reload our land position. Turning to Slide 11. It shows the cumulative balance of new land parcels that we've controlled since January of 2009. So far, we have purchased or optioned approximately 17,000 lots. The land that we've purchased or optioned met or exceeded our investment threshold of a 25% unlevered IRR based on the then current home selling prices and no change in sales pace for the next couple of years. We continue to seek land opportunities in all of our markets and we've had success in finding new deals that made economic sense in most of our markets. As you can see from Slide 12, after seeing a steady flow of gross new land and lot purchase agreements throughout fiscal 2011, during the first quarter of fiscal 2012, we did experience a fall-off of new land and lot purchases. The figures aren't as dramatic on a net basis, where we contracted for 200 home sites in both the first and second quarters of last year, compared to 100 home sites this year. However, we have noticed a very recent pick-up in new land and lot activity and are optimistic that we would return to net land and lot acquisition levels similar to what we experienced in 2011. During the first quarter, we optioned 450 new lots and walked away from about 350 newly identified lots. The net results for the first quarter was that our total lots purchased or controlled since January of 2009 increased by about 100 lots sequentially from the fourth quarter of 2011. During the first quarter, we purchased 600 newly identified lots in 81 communities. In addition, we purchased about 90 lots from legacy options. In total, we spent approximately $74.1 million of cash in the quarter to purchase approximately 690 lots and to develop land across the company. Turning to Slide 13, you'll see our owned and optioned land position broken out by our publicly reported segments. Based on trailing 12-month deliveries, we own 4.6 years worth of land. However, if you exclude the 7,094 mothballed lots, we own only 2.8 years worth of land, based on the low delivery rate of the past 4 quarters. Our owned and optioned lot positions decreased sequentially by about 1,200 lots in the first quarter. We purchased approximately 690 lots during the first quarter, which was offset by 889 deliveries, by 100 lots from land sales and by a regulatory approval change that reduced the number of lots in 1 community by 140 home sites. On the optioned side of the equation, we walked away from 358 optioned lots, purchased about 690 optioned lots, signed new option contracts for an additional 470 lots during the quarter and reduced lots in 1 community by about 200 lots due to site planning changes to optimize land values and obtain entitlements. We continue to be disciplined in only taking down optioned contracts that make economic sense. At the end of the first quarter, 70% of our optioned lots were newly identified lots, 27% of our owned lots were newly identified lots, and if you exclude mothballed lots, 44% of our owned lots are newly acquired. When you combine our optioned and owned land together, 41% of the total lots that we control today are newly identified lots. Excluding mothballed lots, 57% of our total lots are newly identified lots. Turning to Slide 14. We show a breakdown of these 17,866 lots we owned at the end of the first quarter. Approximately 39% of these were 80% or more finished, 13% had 30% to 80% of the improvements already in place, and the remaining 48% have less than 30% of the improvement dollar spent. These percentages by category have remained relatively stable since the fourth quarter of 2010. While our primary focus is on purchasing improved lots, it's continuing to get more difficult in most of our markets to find finished lots for sale at reasonable prices. Therefore, more of our land acquisitions require that we complete land development. About 27% of the remaining newly identified lots we've purchased or contracted to purchase are lots where it makes economic sense to do some level of land development, and we continue to complete land development on sections of our legacy land as well. Now I'll turn to our land-related charges, which can be seen on Slide 15. We booked $3.1 million of land impairments in 11 communities during the first quarter. Additionally, during the first quarter, our walk away charges were only $200,000, which were spread across 7 communities throughout our markets. Our investment in land option deposits were $25.6 million at January 31, 2012, with $24.4 million in cash deposits and the other $1.2 million of deposits being held by letters of credit. Additionally, we have another $5.1 million invested in predevelopment expenses. Turning to Slide #16, we show our mothballed lots broken out by geographic segment. In total, we have 7,094 mothballed lots within 57 communities that were mothballed as of January 31, 2012. The book value at the end of the first quarter for these remaining mothballed lots was $138 million, net of an impairment balance of $494 million. We are carrying these mothballed lots at 22% of their original value. Eventually, as the market recovery that we're beginning to feel gains some momentum, we will be able to justify returning these mothballed lots into production. These would provide us with a rich supply of lots at a low-cost basis. Looking at all of our consolidated communities in the aggregate, including mothballed communities, we have an inventory book value of $979 million, net of $768.5 million of impairments, which were recorded on 135 of our communities. Of the properties that have been impaired, we're carrying them at 25% of their pre-impaired value. Now turning to Slide 17. The number of started unsold homes, excluding models and unconsolidated joint ventures, decreased sequentially. We ended the first quarter with 779 started unsold homes. This translates to 4 started unsold homes per active selling community, which is lower than our long-term average of about 4.8 unsold homes per community. Another area of discussion for the quarter is related to our current and deferred tax asset valuation allowance. At the end of the first quarter, the valuation allowance in the aggregate was $905.2 million. We view this as a very significant asset not currently reflected on our balance sheet and have taken steps to protect it. We expect to be able to reverse this allowance after we generate consecutive years of solid profitability and can continue to project solid profitability, going forward. When the reversal does occur, we expect the remaining allowance to be added back to our shareholders' equity, further strengthening our balance sheet. Today, we could issue more than 125 million additional shares of common stock for cash without limiting our ability to utilize our NOLs. This has not changed from what we reported last quarter. We ended the first quarter with total shareholders' deficit of $514 million. If you add back the total valuation allowance, as we've done on Slide 18, our total shareholders' equity would be $391 million. Let me reiterate that the tax asset valuation allowance is for GAAP purposes only. For tax purposes, our tax assets may be carried forward for 20 years from incurrence, and we expect to utilize those tax loss carryforwards as we generate profits in the future. For the first $1.9 billion of pretax profits we generate, we will not have to pay federal income taxes. Now let me update you briefly on our mortgage operations. Turning to Slide 19, you can see here that credit quality of our mortgage customers continues to be strong with an average FICO score of 732. For the first quarter of fiscal 2012, our mortgage company captured 79% of our non-cash home-buying customers. Turning to Slide 20. Here we show a breakout of all the various loan types originated by our mortgage operations in the first quarter of fiscal 2012 compared to all of fiscal 2011. 45.8% of our originations were FHA/VA during the first quarter of fiscal 2012, only slightly less than the 47.2% we saw during all of fiscal 2011. Regarding the repurchase requests from various banks, we continue to believe that the vast majority of requests that we've received are unjustified. On Slide 21, you'll see our payments from fiscal 2008 through the first quarter of fiscal 2012. In the first quarter of 2012, our repayments were only $0.4 million on 2 loans. During the first quarter of 2012, we received 13 repurchase inquiries, which was slightly higher than the quarterly average of 10 repurchase inquiries for all of fiscal 2011. It is our policy to estimate and reserve potential losses when we sell loans to investors. All of the above losses have been adequately reserved for in previous periods. At the end of the first quarter, our reserves for loan repurchases and make whole requests were $6.4 million, which we believe is adequate for our exposure. To date, mortgage repurchases have not been a significant problem, but we will continue to monitor this issue closely. Our cancellation rates remain at normal levels. Our cancellation rate for the first quarter was 21%. This was slightly lower than the 22% we have reported for last year's first quarter and identical to the 21% we reported for the fourth quarter of 2011. If you look back on a quarterly basis to the 2003-2004 period, as we've done on Slide 22, the 21% number that we've been -- that we've reported for the first quarter is fairly typical cancellation rate for us. Turning to Slide 23. It shows our debt maturity schedule through the end of January 2021, which takes into account the successful exchange offer and debt repurchase we completed early in the first quarter. As we have reported in our 10-K, we repurchased $44 million of our bonds for $20.5 million in cash, including accrued interest, during the first quarter. After making these repurchases and paying $14.2 million of cash consideration as a component of our exchange offer, we have approximately $138 million of restricted payment capacity left to repurchase additional bonds. We felt comfortable with our liquidity before the exchange and we feel even better about it now that it's completed. Today, we have only $52 million of debt that matures before 2015 and an additional $84 million of debt that matures before 2016. At the end of fiscal 2012, the first quarter, we -- after having to spend approximately $74.1 million in cash during the quarter to purchase about 690 lots and on land development across the company and spending $42.6 million to complete both the debt exchange offer and debt repurchases, we ended the quarter with $201.7 million of cash, including $35.7 million of cash and homebuilding restricted cash used to collateralize letters of credit. The amount of homebuilding restricted cash used to collateralize letters of credit has steadily declined from about $135 million at the end of fiscal 2009 to the current level of $35.7 million. This reduction in restricted cash has obviously added to the productivity of our remaining cash balance. However, we do not expect restricted cash to decline as significantly in the future as it has declined over the past couple of years. Our focus will remain at keeping a minimum total cash balance at quarter end within the range of $170 million to $245 million, with no single quarter falling below $170 million. However, due to the $22 million sequential decrease in restricted cash utilized for letters of credit, we are much more comfortable at the lower end of that range, which we've provided previously. We are just about at the midpoint of that range today at -- as of the end of the first quarter and believe that we have adequate liquidity to reinvest in sufficient land to increase our community count and deliveries, as well as repay the debt that matures between now and the end of 2015. Purchasing smaller land parcels resulting in faster inventory turns has been part of the formula that makes that achievable. During the last week of February, we had several small 3(a)(9) exchanges of discounted bonds for Hovnanian equity. These transactions were completed within a few percents of the bid side of market pricing on the bonds, and the stock was priced at the weighted average daily price on the day that we agreed to terms for each transaction. In the aggregate, we exchanged 1.2 million HOV shares for $4.8 million in the aggregate of our 2017, 8 5/8% notes and our tangible equity unit amortizing notes. While our stock price has improved over the last couple of months and we are more willing to consider completing a few 3(a)(9) exchanges, we are only considering opportunities at or near market prices. We continue to believe that, as the homebuilding market recovers and we can return to solid profitability, we should be able to issue equity at higher prices than today, reduce leverage and refinance our 2016 and 2017 maturities. I'll turn it back to Ara for a few closing comments.
Ara K. Hovnanian: Thanks, Larry. I know that many investors are concerned with our cash position. We have said for over a year now that we wanted to be fully invested in land. And for the first time, we've gotten to the point where we ended the quarter with our cash in our cash target range. These land investments resulted in our ability to increase community counts, deliveries and contracts during our first quarter. And assuming no change in market conditions, they've set us up for additional growth this year. Keep in mind that the first quarter is typically our weakest in terms of cash flow because of the low seasonal deliveries. This year's first quarter was no exception. However, we are confident that deliveries and operating cash flow should improve in our later quarters, barring a significant change in the current marketing conditions. Operating within the confines of our cash target range, we feel comfortable that we can continue to reinvest in land and grow our revenues as well as repay the debt that matures between now and the end of 2015. That gives us time to refinance the 2016 debt and issue additional equity in a better market, as Larry mentioned. Our comfort is partially based on the fact that we are investing in new communities that generally have faster inventory turns. These new communities are now starting to return the cash initially invested as well as a profit. And at the same time, we continue to liquidate our slower-turning legacy assets. We recognize that some will extrapolate the first quarter's cash flow and be concerned about our liquidity. Once again, our internal models show improved cash flow in subsequent quarters, particularly given our recent contract pace and deliveries from new communities that had consumed cash in the previous quarters. Our outlook has given us the confidence to continue to invest in new land purchases to position ourselves for growth. Further, we have sufficient confidence to spend part of our cash on repurchasing debt at a discount over the last quarter, as we outlined. If the market changes and deteriorates further, then there are a number of levers that we can pull to quickly increase our cash if we need to. If you turn to the next slide, you see some of the options that we could have. We could delay or reduce land purchases or takedowns. We could sell excess land. We could enter into model sale leasebacks, and we have many models out there. We could enter into joint ventures, both for new transactions and for some of our existing land deals. We could enter into land banking relationships on, again, both new land transactions and some existing land. We could issue equity for cash or issue equity for debt, much like the 3(a)(9) exchanges that Larry mentioned that we executed last month. We could limit our started unsold homes. Or we could reduce land development spending. This is not a complete list, but it's meant to give you an idea of some of the potential alternatives if we face the need to more quickly raise our cash position. Our recent upturn in contract pace has definitely given us further confidence that we are pursuing the correct strategy for our shareholders. We look forward to reporting further growth and progress in the coming quarters, as well as making investors feel even more comfortable with our liquidity.  That concludes our prepared remarks, and we'll now be happy to open up the floor for questions.
Operator: [Operator Instructions] And your first question will come from the line of Alan Ratner with Zelman & Associates.
Alan Ratner - Zelman & Associates, Research Division: Ara and, I guess, Larry as well, I appreciate the kind of walking through the cash targets and some of the levers you can pull in a situation where maybe the market doesn't accelerate, like we're seeing some signs that it's doing. But I guess I was hoping to ask a question kind of the other way, and that's looking at your February orders and the 38% increase there. Thinking about the cash that needs to go out the door to build up that backlog, and assuming maybe the market is actually even stronger than some of the signs that we've been seeing over the past couple of months, what would get to the point in terms of order growth where you would maybe have to bring that cash position below your -- the low end of that target in order to -- maybe on a short-term basis, but in order to kind of build up that backlog? Or would you manage that target so strictly where, even if you're pretty sure that cash is going to be coming back in the door 1 quarter or 2 down the road, you would still pull those levers to remain within that target?
Ara K. Hovnanian: Well, as you know, the increased orders work both sides on terms of cash generation. On one side, it takes a little more cash to produce the WIP. On the other side, to the extent we're delivering homes on land that we own, it generates some significant cash flow. And those two really work to counter each other. At this point, we're comfortable that we're going to stay within the targets even with the kind of pick-up that we've seen.
Alan Ratner - Zelman & Associates, Research Division: And then, Larry, would you be able to provide the split on your unrestricted cash balance between -- I believe you had some cash within the unrestricted subsidiary that's back in the secured notes versus what's at the, I guess, the parent or at least the K. Hov subsidiary.
J. Larry Sorsby: Yes, that will be in the 10-Q, but I think we have...
Jeffrey T. O'Keefe: The cash amount that's in what we'll call a new secure group is $81 million.
Alan Ratner - Zelman & Associates, Research Division: And how freely can you move the cash back and forth within those 2 buckets?
J. Larry Sorsby: I mean, cash is fungible. So I mean, obviously, as we're buying new land parcels, we make a conscious decision whether we are going to buy the land in the new secure group or the old secure group. So if we have more cash in one or the other, we'll make that land decision to purchase it in the one that has more cash than we think that it needs to have. There's other levers that we pull as well, but we're very comfortable that we can adequately manage the cash between the 2 secure groups.
Operator: Your next question will come from the line of Andrew Casella with Imperial Capital.
Andrew Casella - Imperial Capital, LLC, Research Division: Larry, regarding the slide on your potential liquidity levers, can you quantify, I guess, the opportunities that exist in selling excess land in model sale leasebacks and what investors could look forward to if you were to have to pull those levers and what kind of cash it can generate?
J. Larry Sorsby: We're really not making a public projection on how much we might do of each one of those particular categories. As Ara said, we have quite a number of models on the books. I think you can actually see that on one of the slides, to give you a little bit of perspective of the number of models that we currently own. So someone might be able to look that up as we go, since it's a publicly disclosed number.
Jeffrey T. O'Keefe: 217 models.
J. Larry Sorsby: 217 models as an example. But in terms of land sales and other things, when we do land banking activities, et cetera, we can do that both on owned land as well as new land. Those are not necessarily levers that we anticipate pulling. It's just that -- it's kind of safety valves that are available to us if the market deteriorates and just something we can look at redeploying cash if we can get better returns doing something else with it.
Andrew Casella - Imperial Capital, LLC, Research Division: And is there a priority as far as which one of these you would rather do versus another option?
J. Larry Sorsby: We would look at the opportunities at the time that we decided to do it. And whatever we thought was the best opportunity at that time, we would pursue first.
Ara K. Hovnanian: Clearly, we'd rather not defer land purchases, since we'd like that for growth. So some of the other alternatives would certainly be more attractive. And things like model leasebacks or joint ventures, can be -- or land banking opportunities -- could be better sources of capital for us. We'd prefer not to issue much equity at these prices, because we feel pretty confident about the direction we're going in and we'd rather issue more equity at higher prices. But so if forced to prioritize, I guess I'd say, in that order: land banking, lot model sales, et cetera, before some of the other choices. I will mention, we have had a few model sale leasebacks, not many. But there have been small investors that are happy to basically earn the return equivalent to their mortgage payments and carrying costs. And those are good opportunities for us, a fairly inexpensive source of capital right now. I haven't added up the numbers, but Jeff mentioned we have about 217 models out there, I guess, that we still own. So if you multiply that by our average price somewhere around $300,000, I guess, that's about $66 million on our average price. Models tend to be slightly above our average price. So that can be -- certainly can be a source of capital.
Andrew Casella - Imperial Capital, LLC, Research Division: And just one quick follow-up. Larry, as far as the balance in the new secure group on the cash side, can you give us an insight as to what constitutes excess cash in one box versus the other? I mean, can we infer that the unrestricted group is now at $80 million, down from $120 million sequentially? Is that, I guess -- can we read into that number at all?
J. Larry Sorsby: No, not really. I mean, what we do is we look at the cash needs. It depends on what kind of investments we make in each secure group. I mean, for example, if we bought a raw piece of dirt in a new secure group and we were going to have to spend land development dollars on it in nearby quarters, we would be able to project out what those cash needs were. So it just depends on what investments are in there. And we understand what the cash needs are in each of the individual secure groups and we're going to make sure that we have adequate cash in each one. As another example, there may come a time that we have only producing communities in one group or the other and they are going to be generating cash, so we're comfortable with the cash balance being a lower number. So we manage the company as one combined entity. We understand we have to wall off the 2 secure groups and we've properly done so. And we're going to manage the company as a single entity. And that cash number may change from one quarter to the next as to how much is in each of the different secure groups.
Operator: Your next question will come from the line of Nishu Sood with Deutsche Bank.
Rob Hansen - Deutsche Bank AG, Research Division: It's actually Rob Hansen on for Nishu. Have you guys looked at -- if these current positive trends continue, how much cash you would have to spend on land development this year? And I'm just kind of asking because you mentioned that you're going to have to do a little more land development but you also want to increase turns and buy these smaller plots of lands and turn them into cash as well. So I guess, what's going to be more impactful this year for you?
Ara K. Hovnanian: We've factored in the land development spend in our projections. Basically -- in the boom days, you'd think of a parcel of 150 lots and develop 100 at a time. Today, we're much more resourceful with our capital. And we will develop lots in very small increments and basically turn that asset even if it's a undeveloped land much more quickly than we had in the past. So right now, it's factored in. If we were to find opportunities that were large parcels that needed a lot more development dollars upfront, for those, we would -- and we have -- sought joint venture partners, as long as the returns are sufficient. Having said that, we haven't seen as many of the large opportunities as the small opportunities. And since we've got the cash position, we've been doing those wholly owned in the recent periods. But we'd be happy to bring some to our partners and we've got some good experiences with them, if we found the right opportunities.
Rob Hansen - Deutsche Bank AG, Research Division: Okay. And then just in terms of the February sales data, how did the -- how did it look, excluding JVs? And were there any parts of the country that significantly outperformed?
J. Larry Sorsby: Do you have that at your fingertips, Jeff, or not?
Ara K. Hovnanian: Hold on one moment. While Jeff is getting the without-JVs and with-JVs numbers -- I assume that's what he's digging up right now -- I'll just comment that the pick-up was pretty broad based in terms of product type and geographies. If I had to pick on 2 markets that haven't quite joined in the resurgence as much as some of the others, I might say Tampa and parts of New Jersey. Other than that, we've seen a pretty broad-based pick-up by geographies and product types.
Jeffrey T. O'Keefe: Without JVs, we're up about 30% in the month of February.
Operator: Your next question will come from the line of Michael Rehaut with JPMorgan.
Jason A. Marcus - JP Morgan Chase & Co, Research Division: This is actually Jason Marcus, in for Mike. So my first question is regarding the sequential gross margin improvement. I was wondering if you could give us a little bit more detail in terms of what the key drivers were there? And then also, I think you mentioned that gross margin should improve year-over-year. I was just wondering if the level that it's at now you think is -- is it sustainable? Or do you think that it can potentially improve from here?
J. Larry Sorsby: I guess I'll answer the second question first. Is -- I think we said pretty clearly we expect gross margins to improve in 2012, so it wouldn't surprise me at all that it's going to improve above the level that we just reported. Ara, do you want to take the first part of the question?
Ara K. Hovnanian: Yes. As always, it's a mix of everything, a mix of which communities are selling, a mix of the newer communities that are helping a little bit. So it's really a -- the overall mix. In general, we're weeding through some of our older legacy communities. We're weeding through some of the lower-profit communities and feeling some strength in the marketplace. We also just haven't seen the pricing pressure that existed in prior quarters. There are always anecdotal situations where you have to tweak concessions and that affects margins. But we've also been having some anecdotal situations where we're raising prices, not enough to say clearer trends, but we're definitely seeing that a little more and that is clearly helping the overall gross margin situation.
Jason A. Marcus - JP Morgan Chase & Co, Research Division: Okay. And then the next question is just regarding new communities. I was wondering if you could give us any color on how many net new communities you expect to add over the next several quarters?
J. Larry Sorsby: Yes, it's just not something that we make public projections on. We kind of directionally tell you what we're expecting to have occurred, but it's a very difficult number to project because if we were selling faster than we had expected, that'll lead to less community counts. So I mean, there's just -- might have delays on opening. So it's just a very difficult number to project.
Operator: Your next question will come from the line of Megan McGrath with MKM Partners.
Megan McGrath - MKM Partners LLC, Research Division: I guess, first of all, in the category of no good deed goes unpunished, I'm going to ask you about your liquidity levers again. But really, just wanted to get -- manage expectations a little bit here about how you are forecasting and when you talk about a deterioration in the market and when you could use these, can you give us a sense of what that really means? Do we need to keep the pace? Do we need to just see growth, and you think that you can manage it? Does that mean that we start to see year-over-year declines? When you think about a deterioration, what exactly does that mean?
J. Larry Sorsby: Well, I guess what we've very, very consistently said and reiterated time and time again is, every time we run our own model, we're kind of assuming today's absorption pace, today's home prices and that things don't get better, they don't get worse. I mean, we run upsides and downsides, but when we talk about our model publicly, it's the model that kind of just assumes market conditions remain just as they are forever. So when we talk about deterioration, what we're saying is that the market materially gets worse than it is today, i.e., the last time we kind of ran the model. So that's kind of what we mean by -- and it isn't just, it's a tiny hiccup. It's something materially worsens.
Ara K. Hovnanian: Yes. And to be clear, we haven't run our model, assuming February is what happens in every month or even the first quarter. I'd say our models are run more conservatively than what we've experienced recently. And we have, we believe, sufficient cash flow to buy land and hold our cash target in that scenario. It would have to decrease less. Home sales and prices would have to decrease from that position of -- which was, again, more conservative than what we've just announced for the recent quarter and the month of February.
Megan McGrath - MKM Partners LLC, Research Division: And then could you trail down a little bit more, if you could -- on your land base, you talked about buying new land that requires development. This land that you're seeing, is it raw, is it partially developed? And how does that compare to, for example, your mothballed lots? Are your mothballed lots mostly undeveloped? And -- so when you talk about taking those out and the low-cost base of them, are you -- how much money are you going to have to put into those lots when you eventually bring them to market?
Ara K. Hovnanian: The mothballed lots, first of all, have both developed and undeveloped. We probably -- I haven't looked at the exact breakdown, but I think we have more undeveloped in a couple of parcels. But we certainly have quite a few that are developed. On the ones that are undeveloped, there are a couple that would require more significant cash flow and cash investment to develop them. Many of them, though, are able to be broken down into much smaller increments. So I think we can get a reasonable blend between the ones that are already developed, some of that are -- can be broken down into very small land development increments, and those that might require more significant investment. And perhaps for those, when they're ready, we might seek out a partner. But we really got quite a mix. The -- in terms of what kind of undeveloped we're seeing today, they -- it really runs the gamut. We're -- immediately after this meeting, we actually have a small land committee meeting. I'll give you an example of one, it's for property in Chicago. It's a quasi infill, it's kind of on the beginning edge of the suburban fringe. And the streets on the outside are improved, and the land development that's necessary has to do more with drainage and sidewalk improvements, et cetera, not bringing the main utility there. In some cases -- and in that case, that's an older neighborhood and this is one of those overlooked parcels. And we get those and they tend to have less development. In other cases, we pick up where a land developer stoped and perhaps the bank got the property back. And they might have had the sewer and water lines done and stopped there. So we have to go complete perhaps the water and sewer or maybe just test it and then put in the final grading, do the roads, curves, sidewalks, et cetera. And the third category is where we don't have anything there and we've got to do everything A to Z. We really have situations in all 3 categories all the time. And that blend is pretty much -- we've kind of assumed, the same blend of opportunities that we've been contracting over the last few quarters, we have assumed that's the same blend over the next few quarters. And that's how we calculate our capital needs.
Operator: Your next question will come from the line of Kristen McDuffy with Goldman Sachs.
Kristen McDuffy - Goldman Sachs Group Inc., Research Division: I understand that you can issue up to 125 million of shares for cash. Do you know how much equity you could issue in exchange for debt without limiting your ability to utilize your NOLs?
J. Larry Sorsby: I think there's some back-specific stuff on that, but it's difficult to make the estimate. It's some number somewhat lower than the 125 million, but I can't tell you what it is.
Kristen McDuffy - Goldman Sachs Group Inc., Research Division: Okay. The cash that you're spending from your secure group, do you expect this to be spent mostly on wholly owned land? Or do you think that, at a point in the future, you would invest it into joint ventures?
J. Larry Sorsby: We have 2 secure groups. Which one are you talking about?
Kristen McDuffy - Goldman Sachs Group Inc., Research Division: The one for the 2s and 5s.
J. Larry Sorsby: Okay. I mean, everything that we do in that secure group is actually in a joint venture. It's just a wholly owned joint venture. We could do additional unconsolidated -- or excuse me -- yes, unconsolidated joint ventures in the future. And it's something that we may choose to do.
Kristen McDuffy - Goldman Sachs Group Inc., Research Division: As I think about investing cash in these joint ventures, how difficult is it to get that cash back? Does it take longer than, say, on a normal development to get cash back from a joint venture?
J. Larry Sorsby: I mean, it's -- and that's again back-specific as to what the exact terms of the joint venture structure is. But typically, the cash comes back in a similar kind of flow as if we had it on a wholly owned basis. We just don't put all the cash up. We're putting cash up alongside of our investors. So it just takes less cash, and the cash flows themselves are similar, if not identical. So we would get our pro rata share back, except for the fact that we get a promote, so that if we get into the promote stream, that promote portion may be delayed in terms of coming back to us because we got to make sure we're over those thresholds. But that would have been cash we wouldn't have gotten if we did it on a wholly owned basis in terms of a extra IRR kind of return.
Kristen McDuffy - Goldman Sachs Group Inc., Research Division: Okay. And it sounds like your focus is on purchasing finished lots. But I just -- I think conventional wisdom is that those are becoming more limited and difficult to find. How are you balancing that? Are you -- what percentage of your lot purchases in the quarter are generally finished versus in need of development?
Ara K. Hovnanian: I'm not sure if I have that statistic off the top of my head. It varies to some extent from market to market. For example, in Houston and Dallas, almost 100% of our purchases are already developed and often are on a rolling option basis where we buy X number of finished lots per quarter. In other markets, like, let's say, California or New Jersey, that's typically a little more difficult to achieve. But I just don't have the exact breakdown of our recent purchases of finished or undeveloped. Jeff, do you happen to have that handy?
Jeffrey T. O'Keefe: No, I don't.
Ara K. Hovnanian: No. No, we don't track that.
Kristen McDuffy - Goldman Sachs Group Inc., Research Division: Okay. And then just lastly, I wanted to just talk about the land banking idea. I know you guys considered this a few years ago, a couple of years ago, and found it not to be the most attractive option. I was wondering, what's changed? How much initial investment something like this would take? And how much of your land would you hope to purchase through such a thing if you chose that route?
Ara K. Hovnanian: I think the structure of a land banking arrangement is pretty much as follows: We as the homebuilder would put down a deposit. That would typically be between 10% and 20% of the purchase price. The land banker would fund the land development also, if that's required. And then we would take down the lots on some pre-prescribed basis. Typically, we -- there's what's known as a skip provision, so that if there is a sales hiccup, you can skip one quarter of lots and you just add it to the overall pile. And the rates of return, it shift -- that's what shifts around in different times of the market cycle. I'd say from mid teens to high teens is kind of the talk, generally. And considering we buy land on an unlevered return of about 25%-plus, land banking arrangements with those kind of returns still make economic sense to us if they're large enough to warrant it.
Operator: Your next question will come from the line of Dan Oppenheim with Crédit Suisse.
Daniel Oppenheim - Crédit Suisse AG, Research Division: I was wondering, if we think about the margins and such and getting cash flow generation, profitability, isn't just about the volumes but also hopefully having the margins coming through, margins even excluding the interest well below some of the peers. Do you think that some of that speaks to the land that you're getting where it's faster inventory turn and so it's then tougher in terms of making the margins? Is it just fewer deals in that land right now? How do you look at that?
J. Larry Sorsby: Part of it, I think, has to do that we don't all report margins the same way. So when you're looking at our gross margin, it's after sales commissions. And most of our peers do it before sales commissions. So that may be why you're saying we're -- I mean, we're still on the low side, but it's -- we move up the rank a bit when you make that apple-to-apple kind of adjustment.
Operator: Your next question will come from the line of David Goldberg with UBS.
David Goldberg - UBS Investment Bank, Research Division: I just want to make sure I understood that, in this recent debt-for-equity swap -- and I realize it was relatively small. But I just want to think about that relative to the Section 83 -- Section 382 rules and the change in ownership rules. Does it have an impact on your 382 and your ability to issue the 125 million shares? I know it was the same number you gave last quarter. Should we kind of assume that there's no impact accordingly on the change in ownership rules?
J. Larry Sorsby: [indiscernible] Yes, we're not going to do an exchange with someone that's a 5% holder or this makes them a 5% holder. So as long as we stick to that kind of proposition, it will have absolutely no impact on the 382.
David Goldberg - UBS Investment Bank, Research Division: Got it. And then I guess, my follow-up question, it's kind of related to a question that was asked earlier about the cash flows and the joint venture. But I want to think about that relative to the earning stream and how that might differ. So we can obviously -- we can see the kind of earnings that come out of it from a [indiscernible] basis, it's kind of a line item. And I'm just trying to think about how the cash flows would differ on -- obviously JVs, we are not fully consolidating them as we look forward.
Ara K. Hovnanian: Well, I think earnings could exist before you get the cash flow -- before either partner gets cash flow, because you may be following back from the cash flow into WIP and subsequent land development sections. We do -- even if we are into the promote and believe we will be in the promote section where we might get a disproportionate share of the income, we do not recognize that from a P&L standpoint, nor do we get the cash flow from that, until the near the very end of the life, both. Again, cash flow nor that extra boost in P&L, we would not get until the end of that particular joint venture.
David Goldberg - UBS Investment Bank, Research Division: Got it. And can I just sneak one more in here quickly? If I look at the absorption pace in the joint ventures, it looks like it's higher than the joint ventures of the wholly owned on balance sheet communities. Is that just related to the legacy communities that you still hold that have a slower absorption pace? Or is that something about product or location of what's in the JV versus what's on balance sheet?
J. Larry Sorsby: To be honest with you, we haven't even analyzed that. My suspicion is it may have to do with some kind of tailwind. I don't know whether we're counting the community accounts that are 10 or fewer lots remaining or whether there is even any of those. I mean, it's just not something we've really analyzed. So I don't think I can give you an off-the-cuff answer, but they're generally larger communities than we've done in JVs. And in some instances, that might impact absorption of -- it's just not something we've really done a lot of analysis on.
David Goldberg - UBS Investment Bank, Research Division: Is it fair to say, quality-wise, there's no difference between what's in the JV and what's in terms of location, A, B, kind of C part of locations?
J. Larry Sorsby: Yes, I think that's a safe bet. The primary reason we would do some in the JV is the size of the community rather than any other qualitative measure.
Operator: Your next question will come from the line of Joshua Pollard with Goldman Sachs.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Most of what I wanted to know has been answered. But I'd love to understand, what's the highest level of land you guys could bring on this year, now given that you're going to have to split your land spend much more between development and acquisition? It's something that -- I know you guys don't give community count targets, but I'm really just trying to understand how much slower you guys may have to grow the business if land prices begin to make a march higher from the hair?
J. Larry Sorsby: I guess the first comment, and then I'll let Ara tag on if he has additional things to say, is, we've been saying for quite a number of quarters and certainly throughout all of 2011 that we were doing land development and doing land development on newly identified lots. So this is not something new. And I don't think it's materially changed in the last quarter or two. So I -- we're not giving you clarity on specifically what our land spend is going to be, but I don't expect the fact that we are buying raw land or partially developed land -- that really hadn't materially changed in the last 6 quarters, would be my reaction.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: But what was the split between development versus acquisition in '11?
J. Larry Sorsby: I don't think we've ever publicly disclosed that.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Okay. My final question is, you guys sort of announced the debt purchases that you did in the quarter in your K. And it doesn't look like you guys did much more beyond that into the rest of the quarter. Is there something that sort of signaled to you, Larry, you should slow down on the debt repurchase side? Or how should we expect you guys to approach debt repurchasing for the balance of 2012?
J. Larry Sorsby: The governor to our willingness to spend on land, to spend on debt repurchases -- the final governor is really liquidity and managing to that cash target range that we continue to talk about. But when we're looking specifically -- as in, am I going to invest in land? Am I going to invest in debt repurchase? It's the price of the debt and where it's trading. So we take all of those kind of factors into account. If we feel we have the liquidity to go out and make debt repurchases, we compare and contrast it to the potential yields we could get on land and do a balance. That's really kind of how we think about it.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: So -- and so is it right in assuming that the IRR, which you guys said were low to mid 20s for land purchases that you guys are getting, you guys would expect lower returns on purchasing debt in the -- from December through January?
J. Larry Sorsby: Well, I think when we have purchased it, we were getting higher returns than we got on land. The transactions that we did do were very appealing from an IRR perspective.
Operator: Your next question will come from the line of Alex Barrón with Housing Research Center.
Alex Barrón - Housing Research Center, LLC: I guess I am trying to balance a couple of thoughts and hoping you can help me. One is, you guys are obviously growing the orders at a pretty rapid and solid rate, 20%, 30-plus percent. And so does that necessarily translate into, your inventories are going to start to grow at that rate? And if so, how do you balance that against your cash position? How -- are you going to need to raise capital soon?
Ara K. Hovnanian: Some of that -- as we tried to discuss on the call, some of that is really the fruit of investments that we've been making over the last few quarters, buying land -- in some cases, we were putting the development in, in other cases just building the models and getting ready to open. So as you've seen in some of the charts, our community count has been growing, which means we bought the land, we opened the communities. Because we don't report it until it's open for sale. And that typically means the big investments have preceded that. And then the dollars that are necessary after that are pretty rapidly turning dollars. They're associated with the construction we have. So if it takes you 90 or 120 days to build a house and you only have -- you pay the subcontractors 30 days later, that part of the asset can turn fairly quickly. I mean, we can actually get proceeds from the customers of closing the house before all of the bills have been received for that particular house. So that component has pretty good turns, and the land and land development component has typically preceded that community's opening.
Alex Barrón - Housing Research Center, LLC: Okay. I guess my second question had to do with trying to understand the accounts payable. That portion dropped sequentially, I guess, $30 million, $40 million. And I was wondering, is that just a seasonal thing, or is that going to bounce back as the year progresses?
J. Larry Sorsby: It's a seasonal thing, Alex. Fourth quarter's typically a big delivery and big deliveries right at the very end of the quarter and that led to higher accounts payable. And there were just less in this quarter. And you'll see that same pattern if you go back and look historically at us as well.
Operator: Your next question will come from the line of Susan Berliner with JPMorgan.
Susan Berliner - JP Morgan Chase & Co, Research Division: I'm sorry, my questions were answered.
Operator: Your next question will come from the line of Joel Locker with FBN Securities.
Joel Locker - FBN Securities, Inc., Research Division: Just wanted to get, I guess, on the debt-to-equity swap, just what kind of -- how deep is that pool? Could you have done 12 million for $48 million or maybe 20 million for all that? Just based on -- issuing shares at an equivalent of $4 a share doesn't seem like a bad play right here.
J. Larry Sorsby: Well, I mean, we've been approached from time to time, and sometimes we're able to negotiate terms at market, sometimes we're not able to negotiate terms at market. But as we mentioned in the script, to the extent that there's others that are interested in pursuing this, to the extent we can do them at roughly kind of market prices, it's something we would entertain.
Operator: [Operator Instructions] Your next question is a follow-up from the line of Andrew Casella with Imperial Capital.
Andrew Casella - Imperial Capital, LLC, Research Division: If you could give us an update on your restricted payment basket in the old secure group. And then just talking about the ability to dividend money upstream from the new secure group, if you have that ability at all.
J. Larry Sorsby: Well, I think I mentioned the answer to the first question: We have roughly $138 million of restricted payment capacity left in that bucket from the old secure group. And then in terms of dividend in cash, I mean, the cash is walled off, with the exception of some limited propositions that I don't expect are going to be meaningful dollars. What really happens is, if we make money in the new secure group on the investments that we make, it adds -- for every dollar that we make, it adds another dollar to the collateral basket that I can do an additional secured dollar debt. That's really the benefit.
Andrew Casella - Imperial Capital, LLC, Research Division: And just secondly, on your incentives as a percent of the home sale price, can you talk a little bit about that in the quarter and if you think that number can come down as we go through the year? It sounded like, sort of year-over-year February, you guys weren't necessarily doing any additional incentives or promotional programs, so any color would be helpful.
Ara K. Hovnanian: Yes, we -- first of all, we really focus on net pricing. Some situations, the -- for a variety of reasons, a division in a location may decide to keep the base price higher and offer bigger incentives. And 10 miles away, they may decide to offer no incentive and just have very low base prices. So sometimes, it can be -- the discussion can be confusing. All we focus on is net pricing. And overall, in spite of the fact that I saw the Case-Shiller index did go down in a bunch of cities last month, I'd say the environment on pricing overall is holding steady.
Operator: Your next question will come from the line of Andy Scheffer with Onex Credit Partners.
Andrew Scheffer - Onex Credit Partners: Can you describe what caused the change in your mothballed lots?
J. Larry Sorsby: I don't think there's a big change. Are you talking about sequentially?
Andrew Scheffer - Onex Credit Partners: Yes.
J. Larry Sorsby: Go ahead, Brad.
Brad G. O'Connor: We had one community that we sold the property, it's reflected in our land sales. And then the other community is now being reactivated. It's going to be opening for sale.
J. Larry Sorsby: Un-mothballed.
Brad G. O'Connor: Un-mothballed, basically. And then one other community had a change in its regulatory -- it's map, basically -- but for regulatory reasons it's reduced the number of lots.
Ara K. Hovnanian: We basically reduced the density, went with fewer but larger lots. And we thought that would better optimize the value of the land.
Andrew Scheffer - Onex Credit Partners: And you commented, Larry, in your prepared remarks about un-mothballing future lots, going forward. What has to happen in terms of the market for you to un-mothball those communities?
J. Larry Sorsby: I think what basically has to happen is continued improvement in absorption pace of -- combined with, at some level in certain communities, an ability to increase home prices. So our ability to get a better return on that investment to justify reopening that community or opening it for the first time is basically what has to happen.
Ara K. Hovnanian: In some cases, construction costs come -- have come down enough to un-mothball a couple of communities without the price going up. In some cases, we've managed to change the product type or use type and justify un-mothballing a community. But generally speaking, Larry's response is right on. It would require a little more pricing or a little more velocity. Or in some cases, besides construction costs, we have seen a few instances where the municipalities have lowered some of their fees. And that could justify un-mothballing as well.
Andrew Scheffer - Onex Credit Partners: So we should -- any change there would be on the margins, it sounds like.
Ara K. Hovnanian: Yes.
J. Larry Sorsby: Well, until the market improves, is that what you're saying?
Andrew Scheffer - Onex Credit Partners: Going from here.
J. Larry Sorsby: Well, it's a -- I'm not sure what you mean by any changes. But as the market improves, we fully expect over time to bring all of those lots back.
Ara K. Hovnanian: We're about to un-mothball a small -- another small parcel. In that case, almost every one of the changes were at play. The municipality did in fact reduce some of their fees by about $5,000. The market has picked up just a little bit in price and pace. And we were able to redesign the product for something that's more cost efficient, yet still works with the entitlements. And when you add those 3 together, it justifies un-mothballing. It's like 70 lots and will be a positive profit and cash contributor. So every situation is different.
Andrew Scheffer - Onex Credit Partners: I guess what I'm trying to get at is, is this a 7-year process, is it a 5-year, 3-year? I'm trying to get a sense as to how quickly or slowly that could happen.
Ara K. Hovnanian: It's so dependent on those factors. I would say, in general, I would not assume that we're going to un-mothball everything in 2 years. I think, more likely, it's just going to slowly evolve over time. The properties are in many different locations. So a neighborhood in Northern California may improve and firm up just like the one I just mentioned in Florida did. And frankly, I -- we have no way to project when that would happen. It just -- all of a sudden, we saw the pace pick up, prices pick up and some of the other factors. And it was not in our projections at all. In fact, we had it -- we assumed in our internal models that it would be mothballed for another 4 years. And we just made the decision a week or two ago to un-mothball it. So it's one of those things that's hard to tell. There are just so many location-specific dynamics.
Operator: And there are no further questions in the queue. I would now like to turn the call back over to Mr. Ara Hovnanian for closing comments.
Ara K. Hovnanian: Thank you. And we'll try to work on the pronunciation in our future calls. We're obviously not spending enough money on radio advertising. But in any case, I appreciate your attention for the call. We are pleased with the results. We're not going to be ultimately pleased until we return to profitability and then start driving some good solid numbers. We feel good about the growth prospects coming up, and we look forward to reporting on them in the ensuing quarters. Thank you.
Operator: This concludes our conference call for today. Thank you all for participating, and have a nice day. All parties may now disconnect.